Operator: Good day, ladies and gentlemen and welcome to Newtek Business Services Corporation Q2 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we’ll conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to introduce your host for today’s conference, Mr. Barry Sloane, President, CEO and Chairman of the Board. You may begin.
Barry Sloane: Good morning everyone my name is Barry Sloane, President, CEO and Chairman of the Board of Newtek Business Services Corp. Stock Symbol NEWT in the NASDAC we welcome you all to our second quarter 2017 financial results conference call. On the call with me today helping me throughout the presentation will be Jenny Eddelson, our Chief Accounting Officer. I’d like to point everyone's attention to the fact that they can follow the conference call newtekone.com, the PowerPoint presentation is on the site in the Investor Relations section and will also be archived there from audio perspective. With respect to that presentation if you go to slide number one there is a note regarding forward-looking statements. It's important that everybody has an opportunity to read and review that. Going into the presentation on slide number two, we always like to take a look at our historical stock performance. Newtek’s 12-month total return at June 30, 2017 including reinvested dividends, 41.5%. Our total rate of return year-to-date for June 30, 2017 including reinvestment dividends for six months 7.1%. A five-year return, 27% [ph] a three-year return 49.1%, a one-year return 27.7% all these returns are taken off of Bloomberg. On slide number three we are looking at our second quarter 2017 financial highlights. I would like to point out with the specificity one of the things that the company does desire to do in addition to a paying dividend, growing its dividend is seek to provide value and grow our net asset value. We would like to point out that on a per share basis, we had an increase of 1.7% over the course of six months on the year-end to June 30, 2016 and over the quarter it was four tenths of 1%. We had a net investment loss of 1.7 million for the three months ended June 30th compared to a net investment loss of $4 million for the three months ended June 30, 2016 on a year-over-year comparison. Our adjusted NII as difference to the adjusted NII primarily and the net investment loss on the GAAP perspective as most BDCs do not have regular what we refer to as reoccurring events which is capital gains because of our loan sales that's the primary difference between the GAAP net loss and the adjusted NII, so our adjusted NII came in at 7.2 million or $0.41 for the three months ended June 30th, an increase of 44% over adjusted NII of 4.9% in the year prior. So many other factors that are increasing our income, rates have risen three times in the last eight months so an increase in drive is interest income on the portfolio. The total size of the portfolio has grown from 211 million to a little over 240 million over the course of six months. So, all these factors are leading to increases in overall income. Our debt-to-equity ratio at the end of June 30, 2017, 81% and our total investment portfolio increased by 13.6% to $392 million. Moving forward to slide number five, in the second quarter we announced the closing of an investment in a new wholly owned control portfolio company IPM an Information Technology consulting company that provides professional services and also offers hardware and software to commercial enterprises. We are proud to announce in the second quarter that S&P increased its rating on our loans securitization class A notes on the 2014-1 from single AA+. We are also happy to announce that our servicing portfolio came in at 1.1 billion on June 30, 2017 an increase of 24.8% over the same year and we re-launched or redesign our website newtekone.com your one solutions company. On Slide number 6 we focus on dividends, our second quarter dividend was $0.40 a share, second quarter dividend of $0.40 was 14% increase over the $0.35 dividend in the second quarter of 2016. The total of the first and second quarter dividends equally $0.76 per share an increase to 8.6% over the total first and second quarter in 2016. We're forecasting and reconfirming $1.57 in cash dividends per share in 2017. Last year 47% of our cash dividends were paid in the form of qualified dividend, we do expect the percentage of our 2017 dividends to qualify for preferential tax treatment. Our loan business is growing faster than the other businesses. I don’t think it will be at 47 a range to of 30% to 40% might be more appropriate going forward. Looking at our SP [ph] lending highlights for the first six months of the year, our fundings were up 20.7%. We're going to focus a little bit on one of our controlled portfolio companies Newtek business credit that provides inventory, receivable line of credits as well as 504 loans. We funded 4.8 million of 504 loans during the first six months of the year. From a referral perspective, our referrals are up this year versus last in the first six months 25.7% receiving 4.7 billion in loan referrals. Through our 14-year history we have approved over 3000 SBA 7(a) loan totaling over $2 billion. We're announcing today that we are increasing our SBA loan origination guidance, previous guidance was 400 million we're bumping that up to 415 million for the year, that will represent a 31% increase year-over-year, this year referrals versus last year and a 4% increase over the previous guidance. On Slide number 8 an important factor of our success and being able to deliver value to shareholders is as we grow demonstrate our operational capability and our financial results, we've been able to lower our cost of capital. That’s been done through increasing our Capital One Bank line from 50 million to 100 million with a rate reduction of one a quarter percent for the unguaranteed loans and a one a quarter percent on the guaranteed loans. We also increased our Goldman Sachs line from 38 million to 50 million and we have a range of rate declines beginning at 1% on the margin decline to 2% depending upon how much leverage we pull down on the line. Very importantly, Newtek and our registration statement is now stale, it's in the process of getting repositioned, reinstituted with the SEC. We have moved to a strategy when appropriate to use an after-money structure for selling common shares, did exercise that slightly in the second quarter, we’re able to raise money at a 2% discount and right at the market, it was great vehicle, this is contrast for us raising larger blocks of money at 3% to 6% discounts from the last trade and 5 to 6-point underwriting commissions. On Slide number 9 we always like to point our differentiated BDC model and why we believe if you are looking at BDC investments, a lot of investors look at us just not as a BDC but they look at us as a general investment opportunity but for those investors are focusing just on Newtek as the BDC because we are different BDC. Number one most of the BDCs are externally managed so we don’t pay proverbial two and 20 out to ourselves, all of our expenses are fully loaded. Importantly from a risk perspective, in order for most BDCs to be able to pay out that market clearing dividend of 9% or 10%, whatever it might be, they've got to invest in riskier asset classes. CDO equity, mezzanine investments, subordinated debt with an equity kicker, all types of instruments that yield between 10% and 14% and it was some leverage on it. In Newtek our loan portfolio was primarily a senior secured loan portfolio, the average balance of our loans of 180,000 on the uninsured. We are currently originating between 600,000 to 700,000 if you include the guarantees so when you look at our loan portfolio of 240 million you've got a tremendous diversification in loan balance, in geography, in industry type and where loans originated, this diversification we believe significantly reduces our risk. But also, all quarterly adjust over prime and without a cap. So as rates move up with half of our portfolio not being levered this provides a lot of value to our shareholders in a rising rate environment. From an interest alignment standpoint, the President and the CEO owns about 5.8% of the common outstanding shares, my interest is very much aligned with the outstanding shareholders. No equity investments in CDOs is no SBIC, even though it doesn’t count as leverage, that's actually debt, you got to pay the interest, you got pay the principal back one day, so we look at our model and we look at the rewards that we are giving shareholders the levels of risk. We just think it's better. We think it's better because investors are investing effectively particularly in the controlled portfolio companies and operating businesses and these are businesses that we are active in, we control them, manage them these are businesses that we typically owned for over 10 years and in our lending business we have really good control, a great track record in history and you are dealing with senior secured loans, small balances and a lot of diversification in there. Moving to slide number 10, I think it's important to note when you are investing in Newtek and lot of people who are investing in Newtek because they are hopeful and we've been able to deliver it so far that it will continue to increase dividend, then you had to hopefully increase the NAV, our strategy is based upon continued growth in loan originations, organic growth in the operating businesses and the controlled portfolio companies, and strategic investments within the business solutions footprint to enable to take our private smaller company valuations NAVs to public company valuation NAVs. On the acquisition side on Slide number 11, the current pipeline we are currently looking at making investments in two PEOs is very beneficial particularly our businesses that we are trying to cultivate that have really significant HR needs, health insurance needs and benefits needs. We're also looking at acquiring a B2B outbound call center, this would be a great adjunct and finally give us the ability to professionally, systematically call out to our existing client base as well as the client base in our alliance relationships. Looking at our merchant processing portfolio that's a unique technological and operational platform at and we're also looking at a value-added reseller and professional services provider. We always take a look at Washington, particularly in today's environment every business should, there is currently a bill that’s come out of the House, small business committee, sponsored by Jim Henslin, called Choice, 2.0. The Choice Act would allow BDC to increase their leverage from 1:1 to 1:5 to 1. The value for an entity like ours as well as other BDCs is the next approximately $120 million worth of funding that we would need prospectively to grow our business opportunities, we will most likely have that instead of issuing shares. Now most people sort of ignore risk, I don’t, so we're adding more debt on taking on more risk but the amount of risk adding 0.5% in leverage to the asset is very minimal, very manageable. When you think the banks will leverage 6:1, 8:1 and 10:1 and we're just looking to go up a little bit, very manageable and we think this would be very beneficial to shareholders if it occurred. Question is does it potentially occur this year, does it occur next year, this is the type of bill that would be attached to budget, economic development you never know but on positive note small businesses very bipartisan today. So, we are optimistic, frankly in the past the former SEC Chair was not a huge fan of BDC, there's a new SEC person that the President has nominated and we think that particular SEC Chair will be more favorable to several of the things on Slide number 12 including the AAFE for investment companies this is key because it prospectively will change a view point from the SEC would allow BDC to be re-included provided a qualify for size into the rest of 2000 or the S&P 500. Moving to Slide number 13, we're proud of the performance of our small business lending group has by our Chief Lending Officer, Peter Downs and his great management team with the largest non-bank government guaranteed lender in the United States including banks of 17th largest. It's important to note we're not new to the market of making loans, to small and medium size businesses, we have a 14-year track record of loan default frequency and severities. We've issued 7 S&P rated securitizations, AA and A. And we're following in the footstep of a business and industry where the 7(a) program has been around for 61 years and has historically provided money to the US Treasury. Looking at our growth in the pipeline on Slide number 14, our originations grew 20% over the first six months of this year. Our referrals are growing by 25.7% and when you look at our pipeline it is also growing. I would like to note that the deploy in loans and underwriting are really due to an improvement in process. We have less loans sitting in underwriting for considerable periods of time, so we're happy that that segment of our pipeline that’s actually less could be able to clean out of underwriting loans and section. Slide number 15, I can tell you over the history of our calls as a BDC, how many times you get the question about rates rising affecting our business, we had three quarter point increases in rates for the Federal Reserve in the last seven or eight months and the prices obviously have not only hit on higher. In fact, we stated that the price changes here are driven by pre-payment expectations which are driven by voluntary and involuntary defaults. We think that obviously our credits have been good, the market's credits have been good that doesn’t change prepayment expectations and unless you have a white-hot economy where real-estate values are going through the roof, business owners are getting several bids on their business, it does not lead to a lot of prepayments or transactional volume. On Slide number 16 we report on our percentage of performing loans as a percentage of the portfolio 3.5%. On slide number 17 our charge-offs as of June 30, 2017 as a percentage is 45 basis points, and that's for a full 12 months period ended June 30, 2017. Slide number 18 and 19 I will not go into as they are standard slides in our presentation, but we certainly feel that particularly new investors and we've spoken to many in the last few months are interested in that math and they could certainly give you a call and go over them. On Slide 21, one of our portfolio companies CDS or Newtek business credit which it is known as starting to get some nice traction. These are the quarterly and pretax numbers. These do not include any gains on sales from 504 loans in which they sit. We are optimistic, we think this business actually has an opportunity of getting into the seven-figure earnings club, maybe not this year, but certainly next year. A lot of the income off of this is based upon our inventory line of credit and receivable line of credit program but the 504 portfolio is also mixed into Newtek business credit. When you go to slide number 22, there is a very full description of the 504 loan programs which we have optimism that this business will be a factor and will grow over the course of time. The 504 program is a loan program on to the SPA that allows us to sell 100% of the components of the loan loss, a 40% second which gets taken out by government debentures and a 50% commercial real-estate loan first which we've been able to sell two financial institutions in the secondary market. Slide number 23, shows how a typical 504 loans is cut up. Slide number 24, shows the return on equity and economics of 504 lending. Rounding out our portfolio opportunities we have our value, our payments business which includes the merchant processing business of UPS was confident Premier payments, we have owned and operated our Wisconsin based business for over 10 years, Premier for over two years. We anticipate we will be at around 6 billion in processing by the end of the year, we have the business on our books at 6.3 times forecasted EBITDA looking at the public comps that rolls double-digit. As we continue to grow the business, grow the opportunity and maybe I will take advantage of the transaction that CardConnect recently did with First Data. These businesses when they are sizable enough can trade in double-digit multiples. Lot of opportunities in the payment processing space, if you go to our website let's see what our position in the market is. We are a solutions based company, we are not positioning on price, we offer security, hardware and software initiatives, mobile payments, state-of-the-art ecommerce platform and specific and specialized reporting for clients. On Slide number 27, we just made a recent investment in a company called IPM to add to our technology portfolio companies in addition to manage Tech Solutions. Look at the valuations on slide number 27 as a public company's versus ours and our technology business is a reposition segment for us. We still have our 99,000 business accounts including 70,000 domains. We believe that we're well positioned to take advantage of the transformation to cloud based business opportunities and we're really excited about positioning ourselves in the market. Our strategy which is illustrated on Slide number 29 is we are the company; Newtek is the company to manage your technology solutions. We have a five-point plan to do this. We go into businesses and we listen. We understand what they have, how their business works, what's their operation, what's their hardware, what's their software, what's their labor internally, what's their labor externally we take note of that which is [indiscernible] free. We then go back to them with a plan, it’s a plan that we can charge upfront or it’s a plan that we could load in to a backend solution. We can finance that over the course of time. We can sell them the hardware and software, all latest, greatest state of the art solutions that are coming out of the Citrixs, the VMwares and the other institutions that we deal with. We’re able to implement and deploy, so unlike going it's an online company buying a server, buying software where you got to do it yourself, we can actually deploy that, we can deploy that by IPM, we can deploy that out of managed tech solutions. And lastly, we manage the hardware and software for our clients. What does that mean. Whether they want to keep the hardware and software on premise which we don’t think they should, or they want to move it into Amazon or Microsoft, which is a cloud based environment, we can manage it for them 24/7 or they can put it in our environment which is in Scottsdale in Phoenix, in New Jersey, in London and in Singapore. We give a five-point program the client can take anyone of the five points, they can take one, they can take two, it could basically tell us we want you to do the whole thing. We want to hold you accountable and responsible, very different approach in some of the major consulting firms that will go in, give a plan, charge for the plan and then they are done. We're fully accountable and responsible and we'll work with small, to medium sized businesses, commercial accounts, enterprise entities to manage their technology solutions and operational platforms. On Slide number 31, I want to point out two recent hires, great talent Jessie Davis, Co-Founder and Creator of creative mobile technologies for those New York, Florida a few other city based individuals on the call when you go into a taxi cab and you see that big contraption in the back that’s got media and ability to take payments, that’s creative media [ph], Jessie helped develop that, has a long-standing carrier in developing solutions to wrap around business processes and operations. Jessie has been brought in to help, number one, increase and improve the client experience to acquire our products and services; number two, make them more productive and efficient for our own staff internally to service our clients and three, to finally get us in the position to be able to market efficiently and properly our master center database. Tom West [ph] another recent hire COO of Newtek Manage Solutions working closely with John Raven to help build up our business and our five-point technological plan. In summary we're a differentiated business model, we've demonstrated really great returns of a five years, three years and one year. We believe you're investing in an asset that have lesser risk than the average BDC and based upon our our return profile historically we have really done a good job in the marketplace. We have a 14-year track record in lending so we are not new to the business, we've been through up-cycles, down-cycles up-credit down-credit. The portion of the portfolio we are investing is geographically diverse, it is industry diverse and 180,000 principal balance of each. It’s a floating rate portfolio that should rise as interest rates rise without the leverage portion of it incurring interest expense rising along with it. Management’s interest are very much aligned with the outstanding shareholders by a very the large stake of outstanding shares. With that, I’d like to turn the financial presentation over to Jenny.
Jenny Eddelson: Thanks, Barry. Good morning everyone and thank you for joining today’s call. Please turn to slide 34 to review our second quarter results. In total, investment income was $9.9 million, a 37.1% increase over $7.2 million from Q2 2016. The majority of this increase was from the growth and interest income year-over-year. Interest income increased by $2.3 million period-over-period and was attributable to a few factors, including an increase in the primary and the average outstanding performance portfolio of SBA loans increasing to $220.7 million as of June 30, 2017 from $172.7 million for the quarter ended June 310, 2016. In addition, interest was favorably impacted in Q2 2017 by $852,000 of interest income related to accrued non-performing interest owed by one borrower that paid their accreted just balance in full. Dividend income in Q2 2017 was 2.5 million or flat in total versus the same quarter of 2016 and represented 1.75 million from Newtek’s merchants' solutions, 375,000 from premier payments and $350,000 from IPM. Total expenses increased by $280,000 year-over-year. Salaries and benefit increased by 1.4 million, $367,000 of this increase was attributable to stock-based compensation incurred in Q2 2017 related to the issuance of restricted stock awards to employees beginning in the latter half of 2016. The remaining increase in salaries and benefits of approximately $984,000 quarter-over-quarter primarily represented increases in headcount and payroll expenses related to lending activities and its commencement with the increases in loan originations, underwriting, closing and servicing activities required to manage a growing portfolio. Interest expense increased by approximately $642,000 quarter-over-quarter. The increase was due primarily to $212,000 increase in interest on the notes due 2021 as those notes were issued in April 2016 and a $470,000 increase in interest from the issuance of securitization notes in the fourth quarter of 2016. Other general and administrative expenses decreased by approximately $1.2 million quarter-over-quarter, due primarily to the $1.5 million expense we incurred in the second quarter of last year related to the exit of our [Indiscernible]. Overall our net investment loss for the period decreased from a loss of $4.1 million in 2016 to a net investment loss of 1.7 million in Q2 2017. The reduction in loss is primarily a result of the increase in interest income and the lease loss expense recognized in Q2 2016. The company had net realized and unrealized gains of 8.6 million in the second quarter of 2017 as compared to 9.5 million in Q2, 2016. During the second quarter of 2017 we originated 134 SBA 7(a) loans for $80.5 million compared to 100 loans in the same quarter of the prior year for $75.8 million. We sold guaranteed portions of 121 loans for $61.1 million in the second quarter of 2017 as compared to 90 loans from 51.2 million in Q2, 2016. The net realized gain on sale was $9 million compared to $7.5 million for the three months ended June 30, 2017 and 2016 respectively, a 19.5% increase. The weighted average premium increased to 12.44% for the second quarter of 2017 versus 12.17% in the same period last year. As reminder premiums on SBA 7(a) loans sale generated -- excuse me premiums on SBA 7(a) loans sales greater than 110% must display [ph] 50/50 with SBA. Looking at the credit quality on our SBA loan portfolio, realized losses or charge-offs as a percentage of the average outstanding loan portfolio was 0.45%, a three-basis points reduction from December 31. Total non-performing SBA loans totaled $8.5 million representing 3.5% of the total unguaranteed SBA loan portfolio at quarter end as compared to $8.6 million or 4.1% of the total loan portfolio as of year-end 2016. Overall, we had a net increase in net assets of $6.9 million for the quarter as compared to 5.4 million from Q2, 2016 or 29% increase and ended the quarter with NAV per share of $14.36 and increase to $0.06 per share from NAV per share at December 31, 2016. With that I would like to turn the call back to Barry.
Barry Sloane: Thank you, Jenny. And operator, we’d like to open up the call for questions from the audience.
Operator: Thank you. [Operator Instructions]. Our first question comes from Nick Grant from KBW. Your line is open.
Nick Grant: So, your originations guidance of 415 million, does that still include 40 million of 504 and you had only 4.8 million year to date in that group, so can you provide some color on the 504 pipeline? I know these can be a little bit lumpier.
Barry Sloane: Yes, they are Nick and obviously, the 504 pipeline is in pretty good shape I think on a gross basis we probably got a 50 million or 60 million in the pipeline. We've also recently hired a specialist in that area which we look forward to them arriving in around three or four weeks from now that would put us in a different light. So, we feel very good about the 504 business, it dovetails very nicely into what we do and I think we got probably around 10 million in loans may be a little more than we're sitting in. I would say we probably got 5 million, 6 million or 7 million that prospectively could be available for gain on sales treatment and we've got indication on bids on parts of that portfolio that are consistent what we've talked about. So, I think that as we look at our business I want to think it's fully linear, everything kind of moves along in march step but we feel pretty good about the size of the business that's why we went out and indicated 40 million of fundings and will probably have a couple of sales that we do think we have one sale that we did in the third quarter, and we've actually completed and funded. So, we feel pretty good about the business, and it would be really complimentary and that will give a nice boost to see as which historically have not been a contributor of pretax to dividend income.
Nick Grant: Okay great, thanks. I appreciate the conservatism on your valuation of the merchant business. You are sitting on a pretty significant discount of peers, you have nice growth in this business so what does it take to see some multiple expansion here? Is that all a question of scale and total volume or is this another driver?
Barry Sloane: Look I think it's a fair question. I think that what the Board looks at as well as the outside valuation firms, is they have a myriad of questions and issues that the public comps clearly are out there and the public comps prospectively if that was the only factor that would lean towards being there. I think the Board is looking for a few things to occur operationally, within the enterprise before it feels real confident to begin to lean and start to push those numbers. I think that's the best answer that we have. When we do these valuations, they are very expensive piece of work that's done, there's discounts associated with it. There's discounted cash flows, there is growth etcetera and so I think it's something that we would certainly like to see, we also like to see some more acquisitions to bulk up the size. I definitely think that if we were at 10 billion versus say 6 that would be a pretty big difference here as well.
Nick Grant: Okay, great. Thanks for the color. And then one last one from me. I kind of agree with the point that the kind of the shift in retails once the headwind to small business I mean it is the kind of your big box retails? But have you made the decision to cut back originations that is segmented off and how are you managing your current exposure?
Barry Sloane: Well, one way we manage the exposure is a good chunk of our retail and I don’t have the statistics, has real-estate associated with it. So, it's not franchises. I mean we are not a big franchise lender. I would say its clear less than 5% it might be less than 2% of our portfolio. so, if a mistake is made you've got hard assets which has really been one of the important aspects of our lending pieces. But so far and we are in the merchant space as well. so, we're are not seeing the smaller retailers that affective by the internet, others might look at it differently and maybe that maybe something has changed but we are not seeing it and I will say we do believe the overall trend to more and more things being done online is there. So, this is where for example if you are a lender you don’t want to be lending the businesses that are on the bowl. You don’t want to do the 1.5 or 1.2 loans you really want to do the 2:1 that have got lot of assets behind it and that’s how you become a differentiator. So, if you're looking at $10 or $11 billion of opportunities to pick through it leave you in a much, much better position to be able to pick the bigger credits. The weaker ones will drive faster.
Operator: Thank you. Our next question comes from Casey Alexander from Compass Point Research. Your line is open.
Casey Alexander : Nick asked my questions about the 504 but can the 4.7 billion in loan referrals from new tracker, can you break that out between how much you received in Q1 versus Q2?
Barry Sloane: I don’t have that data Casey but the first quarter was bigger than the second quarter and I will tell you that’s not a trend that’s just a situation that we had with an alliance partner that has been, I'd say one, but a couple of alliance partners that we’ve repositioned ourselves with. So, I would indicate to you from a trending perspective and by the way I greatly appreciate the question because lot of the analysts and it's your job function to look at those trends, we feel very confident that we're looking at $10 billion to $11 billion of gross referrals this year. So, we try to position the market to look at us annually and not quarterly.
Casey Alexander : And when you say you reposition were there alliance partners that you felt were underperforming either from a qualitative or quantitative standpoint that you kind of moved out?
Barry Sloane: I think the answer for that is, that position is always shifting, some people are coming in, some people are coming out, we add new ones that come on stream, some of them have a contract but they haven’t been at the top of their focal labs, so we go in there, we work the relationship and discuss starts to flow through in a significant manner, so it does fluctuate. We have alliance partners that respectively give us lots of units but they are smaller. So, we're constantly working and massaging that pipeline of referring agents because one thing that you know if all of a sudden, I've got somebody giving me a lot of opportunities but there is nothing coming out of them, that’s just a cost without a return. So, it's always the bit of an ebb and flow for us and there will be always be a little bit notchy.
Casey Alexander : I'm sure qualitative is just as important as quantitative.
Barry Sloane: Big time.
Operator: Thank you. [Operator Instructions] And our next question comes from Lisa Springer from Singular Research. Your line is open.
Lisa Springer : I've noticed recently the company has really stepped up its advertising on television, could you talk about that little bit in terms of the investment and how you're measuring the success of the ad and if that something we're likely to see continuing into the second half?
Barry Sloane: Particularly given that I lost £20 I think I'm going to [Multiple Speakers]. You know Lisa its funny because sometimes I've had people come up and say gee I haven’t seen you take off, no it’s the same spend, we really have not changed the spend much, we don’t advertise what the spend its very low seven figures I will leave it at that. And its CCN, its FOX, it's pretty much 6:00 AM to 8:00 PM, we have a great media company that we work with, does a fantastic job. I just think maybe it is kind of random as to when it appears within those windows but it is really good so we have not put more money into it it's been the same spend for three years.
Operator: Okay, thank you. And I’m showing no further questions from our phone lines. I would now like to turn the conference over to Barry Sloane for any closing remarks.
Barry Sloane: Thank you, operator. I really appreciate it, the one closing remark I'd like to make to the group. We recently went out for a proxy for loan on a discount to NAV on three sensitive subject to shareholders and to myself. And we extended that vote, we are very, very, very, very, very highly confident we will get the vote with management's suggestion or proposal. I will also add that IFS, Greg [ph] Lewis and Egan Jones also put our recommendations to vote with management. We are very thankful for shareholders that actually voted. Whether you have voted, you voted no or you abstained, I know it's kind of a pain you have to make a few calls here and there, we needed another worth couple of 100,000 shares short of quorum but we are in great shape, we are not closed out, it's not done but we feel very confident. Our COO told me I could say that. So, I want to thank everybody that put their votes in and it's important to note we don’t want to sell stock below NAV. There is no reason to sell stock below NAV. We are 20% premium than NAV, but we want to make sure we have that tool if we need something in an emergency. We are internally managed BDC, we have no desire to grow assets for asset stake, we don’t get bigger bonuses, we don’t get bigger management fees but we thank shareholders that understand what it is that we're trying to do and give us the tool to effectively managed our business. If you are owning the stock you should own it because you have trust and faith in, we appreciate that and we appreciate your efforts. With that I'd like to conclude the call today and look forward to reporting next quarter. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participating in today’s conference. This does conclude the program. You may all disconnect. Everyone have a wonderful day.